Operator: Good morning, and welcome to the Whole Earth Brands Third Quarter 2021 Conference Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please also note, today's event is being recorded. At this time, I'd like to turn the conference call over to Jeff Sonnek, Investor Relations at ICR. Sir, please go ahead.
Jeff Sonnek: Thank you, and good morning. Today's presentation will be hosted by Albert Manzone, Chief Executive Officer; and Brian Litman, Chief Accounting Officer. Executive Chairman, Irwin Simon is also participating on the call and will be available for Q&A. The comments during today's call and the accompanying presentation contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts are considered forward-looking statements. These statements are based on management's current expectations and beliefs, as well as a number of assumptions concerning future events. Such forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from the results discussed in the forward-looking statements. Some of these risks and uncertainties are identified and discussed in the company's filings with the SEC. We'll also refer to certain non-GAAP financial measures today. Please refer to the tables included in the earnings release which can be found on the Investor Relations website investor.wholeearthbrands.com for reconciliations of non-GAAP financial measures to their most directly comparable GAAP measures. Additionally, we've provided a supplemental earnings presentation on the Investor Relations website that may be useful in your analysis of the company's performance. I'd now like to call over to Albert Manzone, CEO.
Albert Manzone: Thank you, Jeff, and thanks to everyone for joining the call today. In Q3, we continue to demonstrate the strength and momentum of our portfolio, and our ability to generate strong top line and bottom line growth for our business. We reported consolidated organic constant currency revenue growth of 6.1% including acquisitions in both periods. Branded CPG segment pro forma organic constant currency revenue growth of 7.6% versus 2020 or 14.3% on a two year stacked basis versus third quarter 2019 due to strong volume growth, and a record adjusted EBITDA of $22.1 million. Our Power of One strategy to enhance our shelf presence and drive greater visibility with retail customers across Wholesome, Swerve, Whole Earth and equal is working. We're seeing the distribution gains that we've been building towards across all sales channels including retail, ecommerce, and food service, and we see this momentum continuing through the fourth quarter and into next year. Inflation and supply chain management are top of mind for the entire CPG industry, and it is a focus of ours as well. However, we believe we are in a relatively better positions than other, given that we had a bit of a head start. We were already working on several initiatives to mitigate volatility, protect margin, and create opportunities to drive greater efficiencies over the long-term. This includes our previously announced supply chain reinvention projects, pricing and trade spend optimization, our focus on sourcing, manufacturing operations, logistics and distributions. However [ph], we are continuing to drive synergies with Swerve and Wholesome, which is yet another tool to protect our business against this macroeconomic forces. As such, we remain comfortable reiterating our fiscal 2021 full year guidance. We have most price increases stage with retailers to Go-live in the start of next year. As we look ahead, we're confident in our ability to deliver strong sustainable growth and take advantage of market opportunities. The basis for confidence lies in our proven operating model built on five strategic pillars; brand building, innovation, distribution, supply chain, and our world-class team. Let me now provide some Q3 highlights. On our brand building and innovation; our growth across our branded CPG and flavors and ingredient segments has been driven primarily by volume, year-to-date. Demand for our categories remained strong across both, developed and emerging markets, and we have continued to gain share within those categories in recent years. We have very recognizable brands with number one or number two sharing most key markets with new packaging design, campaigns including our wholesome purpose-led marketing campaigns, and influencers messaging in an attractive industry where consumers demand is projected to be strong for years to come. We're meeting our goal of 30 product launches this year in branded CPG and 15 in flavors and ingredients, and we'll have over 15% of our branded CPG segment revenues derived from product innovation on a three year rolling basis. Our innovation in branded CPG is focused on high growth categories such as plant-based keto-friendly zero-sugar, functional benefits, organic and fair trade in current categories of sugar substitutes, baking, and bake mixes, as well as expanding into sugar laden over categories. Half of the consumption of sugar is in baking, and we're ideally positioned to take a disproportionate share. I'm very pleased with the performance of our acquired brands, baking mix portfolio as we lap 2020 with dollar sales consumption growth, up double digits, and distribution, up more than 60% year-on-year. Well, now on market-based execution. Our brands are getting distribution via our Power of One strategy to become retailer's key strategic category business partner across retail, ecommerce, and food service as we raise the profile of our innovative better-for-you offerings. We believe our Power of One strategy is working because sweeteners, in particular, natural sweeteners, is a young and fast growing category where we can work together with retailers to optimize growth, improve shopability, and help consumers set their shelf as they look for alternatives to the $100 billion refined sugar total addressable market. The increased consumer mobility is benefiting our food service business, and thereto we're leveraging Power of One to gain a disproportionate share of this channel's growth. Whole Earth Brands provides both, sweetening and baking solutions, across all our brands and all our ingredients. Equal and Whole Earth sweetener sachet for coffee or tea, Wholesome Organic Agave for mixology, Swerve no-sugar no-carb for muffins, or Wholesome organic sugar for non-GMO organic fair trade cookies and brownies. We expect more consumers and food service operators to demand natural sweetener options, which represents an incremental opportunity. Both, Swerve and Wholesome, had limited presence in food service pre-acquisition, and will now benefit from our Power of One approach with customers. As shown in our Q3 supplemental presentation made available on our website this morning, I'm happy to report some key performance measures that highlight the direct impact of our Power of One strategy. Whole Earth Brands as a company grew ACV or distribution in the U.S. measured channels to 79% overall, which is a 3-point increase year-to-date Q3 versus 2019. Swerve distribution is 54%, a 26-point increase on a similar basis; and Whole Earth sweetener, the brand distribution is 31%, an 11-point increase. Our momentum is continuing in Q4 and we still have distribution gains ahead of us as we look at 2022. From a door count perspective, within our U.S. natural sugars [indiscernible] portfolio; we have grown the number of selling stores by 7% for year-to-date September. Whole Earth Brands is significantly outpacing the sweetener category growth in all our key developed markets year-to-date Q3 versus 2019. For example, in the U.S. our value sales change is 20.7% versus 7.6% for the category. Our household penetration is increasing across all key developed markets. For example, in the U.S. sweeteners household penetration grew 2-points to 28% year-to-date Q3 versus 2020. Still, with 26% household penetration across our key developed markets versus 77%. for processed sugar, the opportunity is huge and implies an opportunity to engage with an additional 245 million households. On manufacturing and supply chain; supply chain remains undoubtedly a competitive advantage for Whole Earth Brands across our branded CPG and flavors and ingredient segments. As they have noted previously, supply chain improvements will allow us to continue to mitigate inflation and drive top line revenue growth, margin expansion and free cash flow generation. Specific initiatives include commodity pre-buys ahead of 2021, acceleration of our branded CPG in North America supply chain reinvention, and flavors and ingredients footprint optimization including the completed sale of our Camden, New Jersey facility in Q2. All those initiatives are proceeding on/or ahead of plans. On our world-class team; with our results to prove it, I want to recognize our best-in-class employees and leadership teams. They demonstrate daily the passion, competency and engagement to deliver on our vision to build a large, organic, natural plant-based food company. Our CFO search is progressing well supported by a leading national executive search firm, and I am pleased with the quality of candidates we are attracting. As we continue to accelerate our growth in sweetener and adjacent categories, I'm also pleased to announce the addition of Rishi Deng [ph] to our North America leadership team. Rishi has a demonstrated track-record of driving strategic growth, brand building and innovation with over two decades of experience at leading companies such as PepsiCo and Tata consumer products. He will also play a significant leadership role in our portfolio expansion efforts in the North American market. With respect to our flavors and ingredients segment, we're very pleased with Q3 and year-to-date performance. The business delivered revenue growth in the quarter despite the tough comparison due to a strong performance in the third quarter of 2020. Our investments in R&D and sales are continuing to pay off with good momentum in the business and significant new customers anticipated for Q4 and 2022. We expect the business to continue to produce strong free cash flow driven by our global leadership position in licorice, and our diverse [ph] end-markets. Whole Earth Brands is the global leader in the better-for-you sweetener and reduced sugar categories. Our team continues to execute on our vision to grow into plus $1 billion revenue company as we pursue three priorities. First, disrupt the massive $100 billion total addressable refined sugar market that is being displaced by fast growing sweeteners. Second, drive category leadership for best-in-class innovation and brand building, expand our global distribution, leverage our strong supply chain capabilities, and continue to further accelerate our growth through strategic M&A. Third, continue to evolve our brands and product portfolio towards becoming a large organic natural plant-based food company. I encourage you to review our Q3 supplemental deck for further highlights and details on our Q3 earnings. With that, Brian, will now take you through our financials and outlook for 2021.
Brian Litman: Thank you, Albert, and good morning to everyone. As a reminder, we acquired Swerve on November 10, 2020, and Wholesome on February 5, 2021. I will speak to reported results which includes Swerve and Wholesome for the full third quarter period of '21. Additionally, we'll provide some select pro forma results as if we own both, Swerve and Wholesome in 2021, 2020 and 2019, to assist in your analysis of the organic growth of the combined portfolio. Also, please refer to our non-GAAP reconciliations at the end of the press release for additional detail, and I encourage you to view the supplemental earnings presentation on our Investor Relations website. For third quarter ended September 30, 2021, consolidated product revenues grew 92.4% to $128.9 million versus the prior year quarter. On a pro forma basis, including Swerve and Wholesome, for the full quarter in both, the current and prior year periods; organic product revenue increased 6.6% compared to the prior year third quarter or increased 6.1% on a constant currency basis. Reported gross profit was $43 million compared to $18.6 million in the prior year third quarter. Results were positively influenced by contributions from the Swerve and Wholesome acquisitions, and $11.5 million favorable change in non-cash purchase accounting adjustments related to inventory revaluations, as well as revenue growth for legacy business segments. Reported gross profit margin was 33.4% in the third quarter of 2021 compared to 27.8% in the prior year period. The prior year margin was negatively impacted by purchase accounting adjustments. Adjusted gross profit margin was 33.6%, down from 42.2% in the prior year, driven primarily by the inclusion of Wholesome's private label business. Consolidated operating income was $13.5 million compared to $1.1 million in the prior year, and consolidated net income was $8.8 million compared to a net loss of $2.8 million in the prior year period. Consolidated adjusted EBITDA increased 34.1% to $22.1 million, driven by contributions from the Swerve and Wholesome acquisitions, and revenue growth in our legacy businesses partially offset by higher bonus expense compared to 2020. Now, shifting to the segment results for Q3. Branded CPG segment product revenues increased $61.7 million, or 150.4% to $102.7 million for the third quarter of '21 driven by the addition of Swerve and Wholesome. On a pro forma basis, including the impact of both acquisitions in the current and prior year quarter's, organic constant currency product revenue increased 7.6% compared to the prior year third quarter, primarily due to strong volume growth, particularly in our national products portfolio. On a two-year stack basis, when comparing third quarter 2021 to third quarter 2019, branded CPG segment pro forma organic constant currency revenue increased to 14.3%. Operating income for the branded CPG segment increased $3 million to $10.1 million in the third quarter of '21. The increase was driven by contributions from the acquisitions of Swerve and Wholesome, revenue growth from our legacy business and lower purchase accounting adjustments; these increases were partially offset by higher bonus expense, costs associated with our supply chain reinvention project, and inclusion of stock-based compensation expense in 2021. Flavors and ingredients segment product revenues increased 1% to $26.2 million for the third quarter of 2021; the increase was driven by growth in licorice extracts and our magnus suite product lines, largely offset by declines in pure derivatives. Operating income for flavors and ingredients segment was $9.5 million in the third quarter of 2021 compared to an operating loss of $0.4 million in the prior year period; the increase was primarily due to an $8 million favorable change in purchase accounting adjustments related to inventory revaluations, revenue growth and lower operating costs. Operating expenses for corporate for the third quarter of '21 were $6.1 million compared to $5.6 million of operating expenses in the prior year period, primarily due to the addition of stock-based compensation expense in 2021. Now, I will briefly cover September year-to-date results. As a reminder, our consolidated year-to-date 2020 results reflect both, predecessor and successor periods indicative of the June 25, 2020 business combination date. The year-to-date results I will discuss compare the results for the nine months ended September 30, 2021 to the combined nine months ended September 30, 2020, which includes the successor period from June 26, 2020 through September 30, 2020, and the predecessor period from January 1, 2020 through June 25, 2020. Additionally, our consolidated reported financial results reflect the completed acquisitions of Swerve and Wholesome, pro forma comparisons include the impact of both acquisitions in the periods of comparison. Consolidated product revenues increased 80.8% to $361.3 million as compared to the 2020 year-to-date period. On a pro forma basis, organic constant currency product revenues increased 2.7% compared to the prior year period. Branded CPG product revenues increased 128.1% to $283.6 million, reflecting the acquisitions of Wholesome and Swerve. On a pro forma basis, organic constant currency product revenues increased 2.6% compared to the prior year period, and grew 12.8% on a two-year stack basis as compared to the first nine months of 2019. Flavors and ingredients segment product revenues were $77.7 million, an increase of 2.9% as compared to the prior year period. Reported gross profit was $120 million, an increase of $48.9 million from $71.1 million in the prior year period. Gross profit margin was 33.2% in the nine months ended September 30, 2021 as compared to 35.6% in the prior year period. Adjusted gross profit margin was 34.7%, down from 41.8% in the prior year period, driven primarily by Wholesome's private label business. Consolidated operating income was $16.4 million compared to an operating loss of $37.4 million in the prior year. And consolidated net income was $0.5 million for the nine months ended September 30, 2021 compared to a net loss of $37.5 million in the prior year period. The improvement was largely due to $40.6 million of non-cash impairment charges recorded in 2020 and the positive impact of acquisitions in our 2021 results. Consolidated adjusted EBITDA increased 51.9% to $61.6 million driven by contributions from the acquired Swerve and Wholesome businesses. Revenue growth and productivity gains partially offset by increases in public company costs and bonus expense. Now, moving to cash flow and the balance sheet. Cash flow provided by operating activities for September year-to-date was $6.6 million; i.e. net of $19.7 million of non-recurring or unusual items such as M&A transaction related costs and restructuring costs. Our September year-to-date capital expenditures were $7.1 million. Free cash flow, excluding the non-recurring or unusual items was $19.2 million. As of September 30, 2021 we had cash and cash equivalents of $33.6 million and $384.1 million of long-term debt, net of unamortized discounts and debt issuance costs. Using the midpoint of our adjusted EBITDA guidance, our net debt to adjusted EBITDA ratio at September 30, 2021 was approximately 4.2 times. Reducing balance sheet leverage continues to remain a corporate priority. Shifting to our full year outlook; we are reiterating our full year 2021 guidance which includes our acquisitions of Swerve and Wholesome. As a reminder, the outlook represents our expectations for growth on a pro forma organic basis. We define pro forma organic growth to be as if the company owned both, Swerve and Wholesome, for the full years of 2020 and 2021. To reiterate our guidance, we continue to expect consolidated product revenues to be in the range of $493 million to $505 million, representing reported growth of greater than 78% and pro forma organic growth of 3% to 5%. Adjusted gross profit margin is expected to be 34% to 35% of product revenues, which again reflects the influence of our acquired assets, Wholesome and Swerve. Adjusted EBITDA margins are expected to be approximately 17% of consolidated product revenues. We expect consolidated adjusted EBITDA in the range of $82 million to $85 million, representing reported growth of greater than 50%, and pro forma organic growth of 3% to 5%. Total capital expenditures will be in the range of $10 million to $12 million. And lastly, we expect cash taxes will be in the range of $6 million to $8 million. That concludes our prepared remarks. Operator. Now, back to you. Please open the call for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Scott Mushkin from R5 Capital. Please go ahead.
Scott Mushkin: Hey guys, thanks for taking my questions. Hey Irwin, I think as year non-compete is ending, so congratulations on that with Haine [ph]. So, I guess probably exciting as that's concluding. The -- the -- I guess the first question I had is, looking at the debt that you guys talked about at the end there; can you refresh us what the targets are there? And when you're more comfortable that you can get back in the M&A market? Are you comfortable already?
Albert Manzone: Sure. Good morning, Scott and thank you for addressing, Irwin. So, I guess maybe, Irwin, if you want to start with that and your anniversary napping [ph], and then, the Brian can address the depth piece.
Irwin Simon: Sure. Good morning, Scott. And yes, it's three years since I've gone from Haine [ph], and -- you know, three years I did have a non-compete in certain natural organic categories. And I look forward to working with Albert and the whole team in regards to future acquisitions in that fast growing natural organic category. As I said, in the press release, we're going to be focused on plant-based, we're going to be focused on natural, we're going to be focused on organic. And with that, we're seeing lots of niche things. Albert, in the past has done lots of acquisitions with his Pepsi years. But right now, our debt levels, are in the in the 4 [ph]; I'm not a guy who likes a lot of debt but I guess I come back to companies where there is growth, and we would push our debt levels, 4, 4.5 [ph] is where we would do that today. But again, Scott, it's buying companies with good growth and good EBITDA. So -- and there's lots of stuff that we're working, what we want to do is get Swerve integrated, get Wholesome, integrated, and get our Whole Earth on-track. And you got to remember, we're really only a public company now for just over a year, and what we've been able to accomplish in just over a year in the size of the company and the growth of the company, and then, with the ability to go out there and do a lot more acquisition. So, back to your question on a long-winded answer; we're excited about going out there and looking at multiple acquisitions over the next few years and looking at a bunch of them now.
Scott Mushkin: And can I just -- I know, I think that probably addressed the debt issue. Maybe I could just ask one more thing, Irwin; as -- you know, thinking back to your time at Haine [ph], you were almost allergic to debt, sometimes it seemed like you didn't like a lot of debt. So you did from time to time, I know, like have earnouts with equity and that type of thing. Is that a possibility here that you would go that route rather than layering more debt on that -- debt on the company? And then, maybe I'll yield to other questions as we've talked about that.
Irwin Simon: Yes, sure. Really good question. And we did use equity, and -- listen, we have some great equity at Whole Earth. And I think the big thing is, is buying those and doing those acquisitions where there is an earnout and giving equity to share in the accretion of our equity in a share and the accretion of the earnings and be a part of it, and look for the upside here. And I think that is a big thing; there is tremendous upside here. And, you know, I stepped back today and we're in a time when supply chain is being disrupted. There's a lot of smaller companies out there today that feel they have to be part of someone bigger. And with that, we've demonstrated what we've been able to do with Swerve and Wholesome, and even taking brands like Whole Earth and Equal and growing them the way we have. The other thing is, Scott, we have an international business, we have a good strong international businesses with offices around the world. So yes, we would use equity as part of it. And ultimately, with the cost of money today, that's why I'm a little more -- not as reluctant as I was before to go out there and borrow. And you heard Brian talk about our free cash, we throw off a tremendous amount of free cash. The other thing is Whole Earth is really asset-like, so it's not like we're investing a ton of capital in our CapEx.
Scott Mushkin: Perfect. I'm going to jump back in the queue, actually let other people have chance. But I do have some other questions. Anyway, thank you.
Irwin Simon: Great, thank you.
Albert Manzone: Thanks, Scott.
Operator: The next question is from Bobby Burleson from Canaccord. Please go ahead.
Bobby Burleson: Hey, good morning. So just a couple of quick ones on the -- just regional color to the U.S. Are there any areas where you're particularly underrepresented right now? Where -- you know, just gaining traction in those regions will really help your U.S. growth? I'm thinking mainly random CPG and retail.
Albert Manzone: Yes. Good morning, Bobby. And I missed the piece when you were talking about region, you meant geographic pieces in the U.S.?
Bobby Burleson: Yes. Other geographic regions in the U.S. where you're under penetrated, particularly with branded CPG in retail?
Albert Manzone: Understood. Listen, the way we think about it is, this -- this is alleviated with a growing distribution across retailers that have a national footprint and/or very strong regional footprint. As we continue to gain distribution, we see opportunities to close those gaps. What that also indicates, Bobby is, you know, we are really at the beginning of this move away from processed sugar and there is -- and this is why Power of One is so important. There is a lot of education going on, a lot of working with retail partners about the stability, optimizing the growth of those categories, and this is why we're so excited by Power of One and the results we're getting because this is a need as -- as you know, that is for sure, a national need, is a global need, it's an International need. And therefore, with the Power of One, with the education, this is a very young category, especially on the natural side of growing leaps and bounds. There is a ton of opportunity, not only, as you just mentioned; there is not only opportunities as we always talk about gaining distribution but there is also specific regional opportunities that we're tackling with retailers that have a national footprint, and then, increasing the penetration in those retailers in those regions.
Bobby Burleson: Great. And just -- you know, as we're on the topic of -- this category being young but obviously, a lot of tough supply chain issues out there. I would imagine that you guys, like you mentioned, you're ahead of the curve a little bit in terms of making sure you have ample supply and reduced disruptions. Are you seeing any of the end kind of retail partners may be gravitating more towards a brand consolidation strategy in the natural sweetener category where they might want to align these sweeteners with someone that has scale like yourself that can kind of reduce the risk of disruptions?
Albert Manzone: Right, Bobby. And I would take you back on this to really 2020, right. And if you think about 2020 and if you think about some of the color of the growth that we shown there with brands like Wholesome and Swerve and Whole Earth; back in 2020 what you started to have was significant disruption, significant inability to stock the shelves, significant inability from manufacturers, and we said it -- I said it on previous calls that, back in 2020 we had about 98%, 99% service rate. And I talked about the fact that this was boding well in terms of building a strategic partnership with those retailers. The way I think about it is, you can never rest on your laurels. And as you look at 2021, not only we are working very hard, and I talked in my prepared remarks about being a little bit ahead of the curve in terms of securing supply and in terms of managing inflation. But in addition, as we talked -- I just talked about, we're also bringing new tools like the Power of One, which combined with supply, combined with maintaining cost are all very important things for the retailer to continue to partner with the emerging of players. And we always talk as Irwin just said, we are the global leader in that space. So the answer is, we're working hard at it to deserve that confidence from the retail partners.
Irwin Simon: And, Bobby, just on that….
Albert Manzone: Yes, go ahead, Irwin.
Irwin Simon: Just on that, I think, again, and that's a great question. As we build out our footprint on the whole sweetener category, and the benefits of the sweetener category, and consumers moving over this category; to your point, as being that leader out there in either building share, from going out and getting new distribution, developing new products or doing future acquisitions. And we will build the footprint out to supply; I must tell you the team has done a great job in regards to supply right now. But again, there is always challenges out there. And I think the big thing is, back to what Scott asked before; how do we diversify our portfolio and not just be a sweetener company? And that's what we tried to do in regards to Swerve, that's what we tried to do in regards to Wholesome. And that's the direction that Albert and myself in team want to take this. Yes, be that's onus [ph], that sweetener company. And again, it's great to see food service come back, it's great to see some of the innovation that we've come out with. But we want to be that diversified better-for-you, whether it's plant-based, whether it's sweetener, whether it's organic. And look at that and how do we pull it all together; I think that's what's important from what holder than it says in our name.
Bobby Burleson: Great. Okay, thank you very much.
Irwin Simon: Thank you.
Albert Manzone: Thank you, Bobby.
Operator: The next question is from George Kelly from ROTH Capital Partners. Please go ahead.
George Kelly: Hi, everybody, thanks for taking my questions. So, just to start with your full year guidance; I was hoping you could help me understand what's implied in fourth quarter. So if I look at revenue, it looks like there is a nice step up sequentially from what you just generated in the third quarter but then I have EBITDA kind of flattish. And so I was hoping you could help me understand just what's driving that revenue growth in the fourth quarter? And why should EBITDA not kind of move up along with it?
Albert Manzone: Yes. I can start, George. Good morning. And then, let Brian build on it as needed. But I would tell you that, we are first of all very pleased with our Q3 growth of -- you know, if you take overall 6.1, and if you take branded CPG, 7.6 [ph] and versus 2019, 14.3 [ph]. And we have been planning our business against this range of outcome, and I'm very pleased with the job we're doing to execute against that. Now, the second half of the year, and I think you see that in Q3 which including market share gains has always been about rolling out innovation and expanding our distribution as we've been telling you before, and you see that materializing. Now, this is a very fluid environment, as we have talked in the first two questions, as we have just said; and we are therefore -- you know, we remain prudent and would continue to work to meet our goals. But we're in a very fluid environment and we prefer to remain prudent with regard to Q4. Brian, anything you want to add?
Brian Litman: Yes, Albert. George, this is Brian. The one thing I would add is, especially on the revenue side, and I think Albert has alluded to it; but this is our baking season, so we do get an uplift in Q4 related to the baking season. In particular, this is really our first baking season owning Swerve, given that was acquired at the beginning of -- in November of last year. So this is really our first ownership, planning and owning the business heading into the baking season; so that's a big driver for some of the lift we would expect for Q4.
George Kelly: And just to make sure, I don't know -- but on the EBITDA front, is there any kind of one-time -- I'm sure that you're getting hit by inflation, and so that's -- you know, totally [ph]. I just wasn't sure if there was anything bonus related or anything else you can flag that is going to impact Q4 on the expense side?
Albert Manzone: Brian?
Brian Litman: Sure. What I can add there, George; there's a couple things. Obviously, we have a little bit more of our marketing promotion season, weighted towards Q4 to support, obviously, the baking season and some of the items that I just had mentioned. The other items -- you mentioned bonus, for example, and as a reminder, we had a little bit of a different program from bonus perspective last year where the bonus program was paid in the form of our issues or stock whereas this year we're largely more back to a cash bonus; so there will be a little bit of headwind on the bonus expense line as well. But those are probably just two items, I would say off the top of my head that I would point to.
George Kelly: Okay, great. That's helpful. And then next question for me, and I'm not looking for specific 2022 guidance but looking at the free cash flow you just generated in the quarter, really strong. And curious, if you could help bridge just on a go-forward basis, just in round numbers; how I should think about your cash conversion from EBITDA to free cash flow? And what is kind of normalized CapEx or what are your working capital expectations going forward? Just any of those kind of things in round numbers would be helpful.
Albert Manzone: Yes, George. So -- as you know, we're not providing guidance for next year at this stage but I will let Brian address anything that can be addressed within your question.
Brian Litman: Yes. I guess the only thing I would reiterate, George, is that we've publicly in the past have indicated CapEx expectations on a long-term view of approximating about 1.5% of sales. But I echo otherwise what Albert indicated, we weren't -- we're not really providing guidance yet going forward.
George Kelly: All righty, fair enough. Thanks, everybody. I'll hop back in the queue.
Albert Manzone: Thanks, George. Thank you.
Operator: The last question is from Mark Smith from Lake Street Capital Markets. Please go ahead.
Mark Smith: Hi, guys. As we look at kind of this busy holiday baking season moving into this, how do you feel about your inventory out on shelves at retailers today? Is there any regions or anywhere where maybe sales could be supply constrained?
Albert Manzone: Yes, great question, Mark, and good morning. This is what -- why -- why I'm so thankful to our organization and our supply chain organization, and our sales organization. I can tell you that everybody is working very closely together, including with the retail partners, including with our distributor, to the retailers, to make sure that we have everything that the consumer wants on the shelf; and so far, so good. We are benefiting from a great network of co-manufacturers which is spread across the U.S. And, at this point in time, we don't foresee issues for Q4.
Irwin Simon: And Mark, just let me jump into that. You know, I really got to commend the team; here we've brought these basically four companies together, we've innovated products, we've ultimately gained distribution and we've picked up distribution where other companies or competitors could not service. And at the same time, what we're seeing today is foodservice sales pick up that was a big part of our business that dropped off during COVID. So again, I would not sit here and say we're not going to see any disruption out there; absolutely, because as we get ingredients and packaging, pull it together. But again, I commend the team for what we've been able to do in regards to putting companies together, the new distribution, the new products out there, and also just a category that's growing. So, you'll be able to find your Swerve to bake during Thanksgiving and Christmas, Mark.
Mark Smith: Okay, excellent. And the last one for me is, just as we look at kind of this organic growth within CPG; can you give us a little bit of insight into how much of this growth is coming from new customers and kind of growth there versus expanding shelf space within existing customers or more turnover and growth within existing customers?
Albert Manzone: Yes, that's a great question. And I would tell you that the good news is really a little bit of everything. And that's why I think it's a great to work with healthy channels. So if you do, if you just -- you know, if you look at distribution, we are seeing a growth as a said; we grew our doors count to 7% on natural versus 2020, we are also seeing very strong growth in ecommerce where we have more than our fair share, our food service business with increased mobility grew 40% -- 30%, sorry, in Q3 versus Q3 of last year. So -- and you would see on the supplemental deck to the Power of One that we also play out in food service, and ecommerce; so I would say distribution is a piece of it. Innovation, I mean, 15-30 new products in the branded CPG which would represent well over 15% of net sales on a three year CAGR basis is very good for us. And so, I would say that with the brands that we have, the category expansion which we haven't talked about but we're very pleased with the expansion into baking mixes with a five SKUs of Swerve and five SKUs of Wholesome; we are growing those double-digit, we gained 60 points of distribution. So, you essentially have innovation on the core innovation in new categories. And I mentioned earlier that, Rishi Deng [ph], that joined us is going to be in charge of category expansion. You have distribution gains, you have distribution across the different channels; any other supply chain that is best-in-class and could do this with a great organization; so that's in a category that is healthy, which has been always the ongoing premise. We're in at the beginning of continued growth in a very healthy category. So our job is to lead, deserve that leadership, and therefore we want to make sure that you see growth across all the components which essentially provides you sustainable long-term growth ongoing.
Mark Smith: Excellent. Thank you, guys.
Albert Manzone: Thanks, Mark.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Manzone for any closing remarks.
Albert Manzone: Sure. So, listen, thank you very much for taking the time to listen to us. Happy to have follow-up calls with all of you. And please take a look at the supplemental deck that we posted this morning; it has additional elements and information which you may find useful in your analysis. Again, a big thank you for joining us. And as Irwin said, you can find our products for the baking season, Thanksgiving and Christmas, and we hope you enjoy them. Thank you so much. Goodbye.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.